Operator: Good morning. My name is Alicia (Ph) and I will be your conference operator today. At this time, I would like to welcome everyone to the Brandywine Realty Trust Fourth Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question and answer session. (Operator Instructions) I would now like to turn the conference over to Mr. Gerald Sweeney, President and CEO of Brandywine Realty Trust. Please go ahead, sir.
Gerard Sweeney: Great, thank you very much and thank you all for participating in our year-end 2013 conference call and good morning. On today’s call with me are George Johnstone, our Senior Vice President of Operations; Gabe Mainardi, our Chief Accounting Officer; Howard Sipzner, our Executive Vice President and Chief Financial Officer, and Tom Wirth, our Executive Vice President of Investments and Portfolio Management. Prior to beginning, certain information discussed during our call may constitute forward-looking statements within the meaning of the federal securities law. Although we believe estimates reflected in these statements are based on reasonable assumptions, we cannot give assurance that the anticipated results will be achieved. For further information on factors that could impact our anticipated results, please reference our press release as well as our most recent annual and quarterly reports filed with the SEC. As is our normal practice, we will start with an overview on our three key business plan components that is operations, balance sheet and investments. George, Howard and Tom will then discuss our operating, financial and investment activity in more detail. The fourth quarter was a very good one. We continue to improving occupancy and pre-leasing levels. We were very active on the investment front with the announcement of the FMC Tower at Cira Centre South. The closing of our Austin, Texas JV with DRA Advisors and the purchase of One and Two Commerce Square in Philadelphia and several other transactions. Our quarterly run rate came in sigh at consensus for a variety of transactional and capital activity items that George and Howard will address. For 2013, our $1.38 was spot on first call consensus, reinforcing that the operating fundamentals of our business continue to improve according to our business plan. And simply put, our markets continue their steady recovery, our portfolio is performing extremely well and tenant demand drivers are increasingly evident. Operationally, we exceeded most of our 2013 key targets namely spec revenue, retention, lease term, leasing CapEx and mark-to-market on both a GAAP and cash basis and met all other key business plan targets. We leased 4.6 million square feet during the year, one of our highest totals ever. All of our regional operations did a great job and aggressively outperforming our markets. We ended the year at 89.5% occupied and 91.8% leased. These numbers are 120 and 150 basis points respectively, up from year-end 2012 levels, so excellent progress across the board. Positive pricing dynamics continue in many of our markets with strong performance continue in several Pennsylvania town center locations, CBD Philadelphia and Austin, Texas. Additionally, our Met DC and New Jersey operations continue on their path to recovery. Total retention for the fourth quarter was the highest of the year at over 90% and increased our overall 2013 retention rate to just north of 68%. We ended the year with an 8.1% GAAP rental mark-to-market well above our 3% to 5% targeted range, thereby evidencing strong leasing activity and positive demand drivers in most of our markets. On the cash side, while we had a negative mark-to-market of 6.9% during the fourth quarter, for the full year we still exceeded our business plan target. Capital costs also continue to moderate and we are in much better position at the end of 2013 than the end of 2012. We average capital cost of a $1.53 per square foot for lease year for the quarter. And for 2013 the full number which is just north of $2 much better than our original business plan range of $2.25 to $2.75 per square foot. We anticipate we will continue to see declining capital cost as our portfolio reaches full occupancy and our markets continue to recover. Our cash same store number for the quarter was particularly strong. For the year, we had positive same store growth on a GAAP base of 3.5% and 4.8% on a cash basis, establishing a very strong platform on which to execute our 2014 business plan. And looking at our balance sheet, we have an excellent shape with strong liquidity. We have no outstanding balance on our $600 million unsecured line of credit and we ended the year with $263 million of cash on hand. Optimal deployment of these cash balances continually being evaluated. It is clearly availed for acquisition activity, funding or development pipeline and/or liability management. Continued occupancy gains and positive operating metrics combined with our capital recycling program will be major contributors in achieving our previously stated EBITDA leverage targets. As outlined to our Commerce Square announcements the assumption of the secured debt associated with that transaction temporarily increased our leverage pending future recycling activity. However, our objective of getting long term leverage below six times EBITDA and mid 30% debt to GAV remain the driving predicate of our business plan. On the invest front, we sold almost $350 million of properties and an overall disposition in cap rate 7.1% also during the year, we acquired just shy of $300 million of operating properties at an average cap rate of 7% on a cash basis. Our press release and supplemental package provides specifics on several recent transactions including the Austin JV, the acquisition of 1 and 2 Commerce, the acquisition of Four Point Center in several adjoining land parcels and the acquisition of the ground under our Cira Center project in Philadelphia. All well executed trades that advanced our business plan objectives. Our development activity is also detailed in our press release on pages 10 through 12 of our supplemental package. All of those projects are on schedule and on budget. Solid progress is also being made on our land management program. We’re on track to achieve our overall land monetization goal as outlined on page 13 of our supplemental package. In looking at 14, we are firming our guidance range of a $40 to $49 driven by these key assumptions. We expect tenant activity levels to remain strong with ever improving lease economics. We’ve had very good success since our last call and from a revenue standpoint our 2014 leasing plan is already 76% executed. 2014 year end occupancy levels range between 91% and 92% and our leasing percentage will be between 93% and 94%. We’re also forecasting a 60% 2014 tenant retention rate. We expect a strong GAAP mark-to-market on 2014 leasing activity ranging between 6% and 8% and continued improvements in our cash releasing spreads. We will have a continuation of strong same store numbers with a GAAP range between 3% and 5% and a cash range between 4% and 6%. We anticipate capital cost to run well with the range of 10% to 15% target and other key positive is that the remaining lease expirations are only 6.1% or 1.5 million square feet which is the lowest level we’ve had in many years. The 2014 business plan will continue our path to achieve interim debt to GAV of 40% and EBITDA multiple of 6.5 times as we work towards that longer term target outlined of mid 30% debt to GAV and below 6 times EBITDA. Our 2014 plan does not reflect any additional debt or equity financing nor does it reflect deploying our year in cash balances into any growth opportunities. We have $232.4 million debt maturities in 2014 including $218 million of bonds maturing in November. The business plan contemplates simply paying these maturities off from existing cash and/or recycling proceeds. 2014 on the investment front will be another year of successful activity of transitioning to urban and town center portfolio concentrations. We remain optimistic and are continually evaluating on both the buy and sale side growth opportunities. As an underlying predicate, we assume we will be a $150 million net seller during the year with most of those sales being modeled for the second half. That being said, some additional observations. Our business continues to change, highly efficient, multimodal fully amenitized (Ph) access properties are the focal point of our customer base. As such, as we think through our capital allocation strategy it is based on delivering the highest quality, most efficient and debts manage inventory in all of our markets. We are seeing more tenants looking at higher quality space and willing to pay premium for more efficient collaborative work spaces. We remain focused on growing the quality and location advantage of our portfolio. During ’14, we expect additional investment activity in Washington, DC, Austin, Texas, Philadelphia CBD and several of our town center markets. We remain a net seller in New Jersey, Delaware, and Richmond, Virginia, as well as continuing our liquidation efforts in California. We expect to recover additional value from our land monetization program. In particular, several of our projects in the planning and rezoning phase should move closer to either a cash exit or recapitalization during the course of the year. We have several projects in the pre-development stage, our 2014 plan does not project any additional development starts but that situation could change as financial partners are lined up and/or additional leasing occurs. And our mixed use project at 20th and Market Streets in downtown Philadelphia is contemplated to be retail office residential with a 219-car garage. We have obtained final approvals and commencement with that project is subject to execution of joint venture agreements which could occur by the midpoint of the year. The FMC Tower at Cira Centre South will break around midyear and is on target for delivery in 2016. We are well into the design development process and have also begun evaluating several financial and joint venture alternatives. Our stock exchange building at 1900 Market Street in downtown Philadelphia, the redevelopment plan on that will commence in the next several months. We continue to expand the scope of that renovation plan to incorporate additional façade, entrance, lobby and mechanical system upgrades and we anticipate having an overall investment base including tenant finish between a $180 and $200 per square foot. So, bottom-line, we have taken a fairly conservative view on forecasting being only $150 million net-seller, as opportunities present themselves during the course of the year, invariably well, look what happen in 2013. We are in a great position execute with minimal debt maturities, significant cash balances, solid existing coinvestment vehicles, full availability in our line of credit and a demonstrated ability to effectively recycle capital into higher value assets. So to wrap up, 2014 will be a strong drive towards value creation, significant operating platform improvement, forward leasing momentum, strong leasing activity, all positioned us well to generate solid NOI growth, same strong same-store performance and a positive mark-to-markets. At this point George will provide an overview of our ’13 operational performance and a look ahead at ’14. George will then turn over to Howard for review of financial reporting activity and then Howard will turn it over to Tom for review of investment activities. George.
George Johnstone: All right, thank you Gerry. 2013 was a tremendous leasing year for the company. Our regional teams continue to source activity, expeditiously negotiate and aggressively closed deals. Our leasing successes have move the portfolio closer to target occupancy levels and our future lease renewal campaign has significantly reduced rollover risk. Fundamentals continue to improve in all of our markets but a few standout. Our Pennsylvania crescent markets of Radnor, Conshohocken and Plymouth Meeting are 97.4% leased with only 5% rollover remaining in 2014. Our CBD Philadelphia portfolio is currently 93.3% leased with less than 2% rollover remaining in 2014 and only 8% in 2015. Our Metro DC portfolio posted positive absorption of 318,000 square feet to finish the year 87.6% occupied and 89% leased, a 760 and 350 basis point improvement respectively. Our New Jersey portfolio has seen a recent influx of activities that has us encouraged. Deals ranging from 10,000 to 60,000 square feet, which far exceed the more recent size range of deals in that market. During the quarter we commenced 924,000 square feet of leases, retain 90% of our expiring leases and absorbs 344,000 square feet or a 120 basis points of incremental occupancy. Forward leasing activity resulted in a 91.8% leased rate and our 2014 and 2015 remaining lease explorations have been reduced to 6% and 9% respectively. All-in-all a very solid operating year as we met or exceeded all of our original plan metrics. We are extremely pleased with the disciplined focus on controlling capital costs. Our $2.06 per square foot per lease year metric was one of our best. Worth noting in terms of CAD is that during 2013, we spent $14 million on four significant future year lease renewals totaling 509,000 square feet. While certainly impacting 2013 CAD, this pre-spent capital will not impact 2014 CAD. Now turning to the ’14 business plan, based on activity achieved to-date and additional visibility we have on lease transactions since our last earnings call, we are raising our speculative revenue target by $1 million from $42 million to $43 million. This increase is entirely generated from our Metro DC region and is associated with recently executed leases not contemplated at the time of our original business plan. The overall spec revenue target is 76% achieved in our leasing square footage of 3.5 million square feet is 50% achieved. This time last year we were 66% achieved on revenue and 45% on square footage. Deal flow pipeline, portfolio quality and market dynamics have us optimistic about the balance of the plan. Additional visibility and clarity on lease transactions currently in the pipeline over the next quarter will allow us to further evaluate this target on our next earnings call. All of our other 2014 business plan metrics remain unchanged from their original targets. And at this point I will turn it over to Howard.
Howard Sipzner: George and Gerry, thank you. Core FFO for Q4 2013 totaled $49.6 million or $0.31 per diluted share. Our core FFO payout ratio was 48.4% on the $0.15 distribution we paid in October 2013. Full year 2000 core FFO totaled $214.8 million or $1.38 per diluted share and met analyst consensus for the full year. Core FFO provides a better sense of our FFO run rate by eliminating transactional and capital markets activity as noted in our supplemental package on page 25, 2013 FFO differs from, core FFO differs from NAREIT FFO by $4.4 million, while Q4 2013 core FFO and NAREIT FFO differ by $2.8 million. Our supplemental package was further enhanced and expanded this quarter. The business plan and operating data has been moved up front. The financial data is grouped together beginning on page 21 and we have expanded the joint venture section beginning on page 35. We continue to welcome your feedback on these materials. Like to make a few observations regarding our fourth quarter and full year results, fourth quarter FFO is high quality with termination revenue, other income, management fees, interest income, financing obligation costs and aggregate JV activity totaling just $6.1 million gross or $4.4 million net after expenses. For 2013, these items totaled $25.5 million gross and $19.7 million net in line with our expectation for these categories. Our same store NOI growth rates for the fourth quarter a 3.1% GAAP and 6.2% cash both excluding termination fees and other income items in our 3.5% GAAP and 4.8% cash for full year 2014. We’ve now had 10 consecutive positive quarters for the GAAP metric and seven for the cash metric and met our 2013 same store NOI growth targets. Overall, fourth quarter NOI was impacted slightly by the ultimate timing of the Commerce Square, Four Points, and Cira ground lease transactions. Our fourth quarter interest expense of $30.2 million was down a $100,000 versus a third quarter and down $2.9 million versus the fourth quarter a year ago, reflecting the beneficial impact of our ongoing capital market and liability management activities. 2013 interest expense of a $121.9 million was right in line with our most recent expected range of a $122 million to $123 million. Our G&A at $7.3 million was high but it included $1.3 million of transaction expenses whose exclusion for the core FFO calculation brings regular G&A down to $6 million and in line with our expectations. For the full year 2013 G&A excluding transactional cost totaled $25.9 million in line with our $26 million expectation. Our equity income from JVs came in at a $93,000 loss versus $714,000 of income in Q3 and $1.5 million of income in Q2. The Q4 figure was impacted by the turning off of the Commerce Square 9.25% preferred return which actually took place in August 2013 and by $433,000 of transaction expenses within the Austin JV which we do head back for core FFO. The normal run rate for the Commerce Square preferred return would have been around $600,000 in a typical quarter. So it’s turning off which we anticipate in our numbers but could not disclose, was material to the fourth quarter results. With $20 million of revenue maintaining capital expenditures in the fourth quarter formally related to 2014 lease transactions, we achieved $0.15 of CAD per diluted share and a 100% payout ratio included in fourth quarter CAD is also $4.3 million of building expenses on large items like chillers, roofs and parking lots. The 15 largest of these total $2.6 million or over 60% of the total. For the full year, the $0.73 CAD per diluted share came in above our latest $0.66 to $0.70 estimated range and provided an 82.2 % payout ratio for the year. With respect to balance sheet and financial metrics, I would echo the points Gerry made. Our 42.6% debt to GAV, 49.7% debt to total market cap and 7.5 times debt to EBITDA ratio were all impacted by the assumption of the Commerce Square loans at quarter end. Excluding this debt for pro forma purposes and 13 days of associated Commerce Square EBITDA provides a debt to EBITDA figure of 6.8 times. With respect to 2014 FFO guidance, we are affirming our previously given range of a $1.40 to a $1.49. In addition to the business plan assumptions on supplemental pages five and six please note the following. We have very moderate assumptions for gross other income at $23 million to $29 million, this figure is down from the $30-35 million figure given in October due to higher depreciation and amortization on higher intangible assets at the Austin JV than previously assumed. Note, depreciation and amortization it is added back for FFO, we will also have $18 million to $24 million net and this will reflect a basket of termination revenues, other income, management revenues, less management expenses if net, interest income and JV income, and less the 3141 Fairview financing obligation expense. For 2014, our G&A is projected at $25 million to $26 million unchanged from the prior estimate. First quarter 2014 will be higher at $7.5 million versus other quarters as certain expenses are front-loaded. Interest expense is projected to be in a range of a $127 million to $131 million down from a $130 million to $134 million previously due to lower fair market value rates on the 1 and 2 Commerce debt and fourth quarter debt redemptions and liability management. The $150 million of sales reflects several targeted properties and a bucket of generic sales and as assumed 8.5% cap rate. The lost income is $5.5 million in the model or about 43% reflecting a back ended assumption. And we have issuance assumed under our continuous equity program and no note buyback or capital markets activity. For 2014, we’re assuming 160.5 million weighted average shares for FFO, up slightly from 160.4 million previously. We are projecting CAD per diluted share to be in a range of $0.70 to $0.80 versus our prior $0.65 to $0.75, now reflecting a range of $70 million to $80 million a revenue maintaining capital expenditures down slightly. Our plan provides $20 million to $25 million of free cash flow after dividends and recurring capital expenditures. Looking at the 2014 capital plan we have total usage of $560 million as follows. 13 million from mortgage amortization, $219 million for the unsecured note repayment, $75 million of revenue maintaining capital expenditures, $150 million of other capital expenditures and projects these include 65 million of revenue creating capital expenditures where the space was not previously leased in the last year, 63 million for variety of projects and development starts as Gerry outlined and $22 million for various JV activities where we’ll funding small amounts of capital. And lastly we’ll have a $103 million of aggregate dividends consisting of $96 million for common shares and about $7 million for preferred shares. The sources for the $560 million are as follows; $190 million of cash flow before financings, investments and dividends and after interest payments. We expect to receive $7 million on the repayment of an outstanding note receivables. We’re targeting a $150 million of net sales and to round it out we’ll use $213 million of our available $263 million of cash at year end 2013, reducing its balance to an estimated $50 million at the end of 2014. There is great symmetry in our capital plan with our cash essentially covering our unsecured note payment and our sales essentially covering our capital expenditures oriented towards growth activities. Lastly on the account receivable side, we had $16.2 million of total reserves at 12/31/2013, down slightly from September 2013, this consist of $3.2 million of reserves on $20.6 million of operating receivables or 15.6% and $13 million on under $39.3 million of straight line rate receivables or 9.4%. In Q4 2013, our receivables and reserves was somewhat impacted by the removal of the Austin JV properties and the inclusion of the Commerce Square acquisition, otherwise activities were normal and as expected. And with that I’ll turn it over to Tom for some investment comments.
Tom Wirth : Thank you, Howard. The fourth quarter was an active one and we closed our previously announced third quarter activity. We far exceeded our 2013 goals and look forward to exceeding our 2014 targets. With the closing of our Austin joint venture and the fourth quarter sale of two unoccupied buildings, we completed $348.6 million of dispositions in 2013, including $185.7 million non-core suburban properties at a blended 7.5% cap rate, including Commerce Square, Four Points and the acquisition of the Cira Center during the fourth quarter. Acquisitions totaled $351.6 million in 2013. The fourth quarter and full year investment activity reflects our strategy to increase our exposure to urban and town center markets. Looking forward to 2014, as Gerry mentioned, we have established a net disposition target of a 150 million, and we are confident that we will meet and possibly exceed that target. Looking at the investment market, during 2013 there was a great deal of capital chasing core assets in gateway markets and we expect that that will continue into 2014. However, in early ’14, we are starting to see increased investor interest in well located, well leased assets in some of our suburban and secondary markets and we expect that that will translate into increased investment activity. With increased interest in suburban assets we hope to find opportunities to accelerate our disposition program of non-core assets possibly through -- currently we have over 1 million square feet of non-core assets in the market at various stages of price discovery that could generate between $155 million to $165 million of net proceeds. As we stated in the past, we will be just putting our approach in sales and we will only sell when our targeted returns have been achieved. Several drivers leading to the increased activity, capital looking for steady cash flow above those found in the CBD markets as the CBD markets have seen continued low cap rates for core assets. Availability of secured debt with competitive bank CMBS and insurance company financing is available. We have now fixed a 100% of our Austin debt totaling $230.7 million at a blended cap rate of 3.39%. There is also availability of net debt and improve pricing that has allowed buyers, potential buyers to increase leverage and improve equity returns. There is also an improved outlook in some of the suburban office space as occupancy levels continue to improve without significant new supply on horizon. Our 2014 investment plan does not include any acquisitions, however, we continue to believe in the long term fundamentals of our targeted markets and our plan remains to take advantage of any opportunities. We will continue to increase our exposure in Philadelphia that surrounding Crescent markets inside the Beltway, Metro DC and Austin. We are currently evaluating opportunities within our core markets for both operating and development assets and our acquisition pipeline for both marketed and unmarketed deals are strong. Our underwriting reflects our deep knowledge of the market realities; however we have very specific targeted investment areas and have been very disciplined in our search for increased exposure in those targeted markets. We will continue to be disciplined in our capital deployment and when appropriate we will look to use joint venture capital to acquire certain assets. To the extent we are successful in our acquisition efforts; we will seek to accelerate our 2014 disposition activity to remain a net-seller for the year. With that I will turn it back over to Gerry.
Gerard Sweeney : Gentlemen, thank you. So, to wrap up our prepared comments 2013 was extremely successful for Brandywine, exceeding the majority of our business plan metrics coupled with ever improving markets, gives us tremendous confidence that that strong portfolio performance, solid balance sheet improvement and an active ongoing evaluation of full range of investment choices will continue and further accelerate our earnings growth. With that we will be delighted to open the floor for questions. We ask in the interest of time you limit yourself to one question and a follow-up. Thank you.
Operator:
John Guinee - Stifel: Great, thank you guys. Gerry you guys are working very hard to reposition the portfolio into a more amenity based orbit centric portfolio. Can you talk through various sub-markets in terms of where are the tenant demands, it is clearly heading in that direction where other markets or maybe the tenant aren’t necessarily as urban and transit, amenity based and transit oriented or is this something that you see across the board regardless of markets where you are delivering?
Gerard Sweeney : John, great question and certainly an active debate within our entire industry, certainly a key part of our capital allocation thought process. I think as a general matter or general answer; I am very clearly saying this in almost every single sub-market we are in. I mean there is clearly a strong bias in a lot of the larger users of space looking at the ability to access their properties or workplace environments, a number of different ways we saw just automobile transportation, so access to rail, public transportation lines seems to be very, very key. Another great driver we see is the surrounding neighborhood called the amenity program, where we are sitting here today even though we are having some power difficulties in Radnor. It’s a premier location because you have high-end residential housing, multifamily rental and condominium. So whole range of economic options on the living side, strong retail hotels, mix use, access to two different train lines as well as easy access to two interstate highways. They seem to be key drivers much, much different than years ago where I think the horizontal development along different state highways was the primary driver. So, I think when we look at, how we are looking at deploying capital going forward and clearly as Tom and his team work with the George and the operating team is on, where we think that that’s growth drivers are in our portfolio, it’s clearly focused much more on larger scale buildings that are part of mix used developments that have different ways of accessing those properties and that really are very attractive locations and packages to both ends of the demographic spectrum for the workplace, where they will be older employees or younger up in commerce.
John Guinee - Stifel: And then as a follow-up, as your Center City felled off of your portfolio, what percentage of that is, what percentage of Center City felled off with your NOI now? And then what’s the bull case and the bare case of getting a meaningful step in rents. My recollection is that you are -- a product that you own is getting into the low 30s now and but new constructions $400 a foot at the same time there is a lot of new products owned by people like Commonwealth in the market, that can always compete on price. Can you talk about the yin yang for rent spike there?
Gerard Sweeney : Sure George and I will tag team this. I think in terms of the rental rates trajectory, we do expect to continue to see what we have seen in the last few years which is that tenants here from an net absorption standpoint or relocating from D-level inventory are in fact willing to pay a premium for a better physical plan and a better neighborhood in which they locate their businesses. We have clearly seen that growth rates occur at our Logan properties. We think indeed the planned neighborhood improvement say will further accelerate that trajectory. The convergence of the movement east from University City, and the movement west along the Market Street, we think really positions our recent Commerce Square acquisition, and our Stock Exchange Building very-very well, just kind of, we keep upgrading the level of renovations we we’re doing to 1900 Market Stock Exchange because we really do anticipate based upon some of the discussion we’re having with tenants, that building from the physical plan standpoint if we redevelop it the right way can dramatically reposition that from a kind of B-quality asset into an A or an A- asset. So we do think that will continue. We think frankly the announcement of us constructing FMC tower, and the investment of the Comcast is making along with Liberty in the city of Philadelphia and their price points; will clearly both projects deliver a higher quality platform to tenants to evaluate, and look I certainly fully expect that we’ll see the same trend-line in Philadelphia with a lot of other major metro areas where we see our tenants are willing to pay a premium to the end, LEED Silver, LEED Gold, highly efficient column-free high ceiling based, floor plates with a full amenity package. And Georgia will comment on revenue concept.
George Johnstone: The NOI contribution, John, when Commerce comes in for kind of a full quarter of operation, CBD Philadelphia will be over 30% of the company’s revenues.
Operator: Your next question comes from the line of Brendan Maiorana with Wells Fargo.
Brendan Maiorana - Wells Fargo: George, it looks like I think you’ve got a little over 1.2 million square feet of new leasing left to go, I think you did around 300,000 square feet a little more than that in the quarter, just wondering how you think the phase of new leasing is trending relative to your targets to kind of meet year-end, lease trade number, and can you provide an update on some of the big tenant move outs that are likely over the next couple of quarters, I think you got Travellers in Richmond, and Lockheed and Northrop down in DC, and I think there might be one or two in metro Philly.
George Johnstone: Look, I think the remaining new square footage of a million or two, was kind of, a little bit more back-ended in the year. But I think the pace of deal kind of continues as we’ve programmed. We were surprised on a full four user down in Northern Virginia who came to the market during the fourth quarter and really had a quick timeline and were able to kind of fully negotiate and commence that deal in the fourth quarter. And you know the three weeks and then we have to start the year, certainly helpful on that occupancy path for 2014. So we feel confident about the remaining new leasing in the plan. On the large move outs, with travellers down in Richmond, I mean they moved out last week. On our last call we had two 40,000 square foot prospects, neither one of those deals has come to provision, they both opted for stay put solution. However in the interim we have identified three additional prospects all ranging north of 25,000 square feet, so looking to make ideally most of these deals. We have got half that square footage contemplated to come back into occupancy during the fourth quarter. A little bit better news, in Northern Virginia with the Northrop space, that’s a 100,000 square feet that comes back at the end of June. We’ve got a capital program already under way to kind of reintroduce the building to the marketplace, addressing the common areas, the lobbies, the restaurants, the signage around the park. We got a couple of very active tours and we are but one proposal out at this point on that. Chipping up the road into suburban Maryland Lockheed; they moved out last week as well, out of 137,000 square feet. And we’ve got prospects ranging 6000 square feet to a 106,000 square feet, and we’re kind of coming down to the final strokes on a number of those deals. Still some work to do but we feel good about being able to backfill that space. We’ve already backfilled about 40,000 square feet of the 78,000 square feet; Lockheed gave us back in 2013 in the adjacent building and we’re looking for something good news out of the larger one.
Unidentified Analyst: Okay, great. Just follow-up question or question for Tom, last one. The cap rates on One and Two Commerce and the Ground Lease at Cira, the cash numbers are significantly higher than the GAAP numbers and I was just wondering if you could provide some color as to why you’d have higher cash cap rates than GAAP on those acquisitions?
Gerald Sweeney: Brendan that was a mistake and we since corrected it, so the GAAP number for Cira is 9.7 versus 3.7 cash and One and Two Commerce are switched to 8.2 and 6.2, it’s same numbers just less.
Operator: And you next question comes from the line of Gabriel Hilmoe with UBS.
Gabriel Hilmoe - UBS: George, I guess, kind of sticking with the spec revenue target which you’ve increased little bit weekly this quarter. Now you’re 76 you planned, I guess, where you do see potential for upside plan and lie going forward as you move through ’14?
George Johnstone: Well, look, I think, the upside opportunities for us would be to land more of the backfill that I just alluded to in Richmond, Northern Virginia and Maryland on those large move outs. But we’ve also got some very good space in downtown Philadelphia in One and Two Logan and good space at Commerce Square that not all of that is contemplated in the ’14 plan as well. So, I think just kind of looking at where the pockets of vacancy are those are probably the ones I would point to first. And then as you guys like mentioned in my opening commentary even over a New Jersey who’s not very well achieved on their target as it stands today, I mean, that pipeline has kind of shifted dramatically from kind of the 3000 to 5000 square foot range to a much a larger tenant profile, which is a combination of tenants in our portfolio now who have expansion needs but also kind of tenants in that market who are continuing to kind of take that like the quality and our portfolio is well poised for that.
Gerald Sweeney: Yes, I understand on the George’s observation and I think one of things we’re encouraged with if it’s only the challenge when we increase the spec revenue target certainly in the year but I think when we sat down and went through the debt and comp position the overall pipeline through the company and went through those in detail with our managing directors. And we’re beginning to see I think some good things in terms of tenant activity at all of different size levels that we really had not seen in the last several quarters. George touched on New Jersey, that’s a marketplace. Our team has been doing a very effective job, doing leases 10,000 square feet and below. And there is a good list of people well above that range who are actively engaged and looking space. Richmond, Virginia, which again is a marketplace where we have great team in place, the market has been little slower to recover than we would hope. They’re beginning to see some larger scale deals that are real. Decisions will be made and we think that our portfolio is pretty well positioned and our teams in the other operations notably DC continue to do very effective job and really drumming up a lot great support. And you George articulated, I mean, jumping on these transactions and getting them done at very-very short period of time to take advantage of that widow with that tenants. So, I think it’s just systematically (Ph) across the company. We’re pretty pleased with the level of activity you’re seeing. Certainly, the 76% least achievement is well ahead of last year’s pace and to have that kind of activity level done certainly in the year and have such good strong underline improvement at least economics, we feel really present a good opportunity for us to day well as to 2014 unfolds.
Gabriel Hilmoe - UBS: Okay, and then just maybe a follow-up for you Jerry on that. Here are some comments that you’ve made on tenants looking for higher quality space and willing to pay up for that, can you talk a bit about how you’re thinking about pushing rate versus occupancy within the markets just given than dynamic?
Gerald Sweeney: It’s kind of just a little bit, but I think, we, in terms of pushing rate rates I think you’d have seen us do that. I think you’ve seen - and that’s one of the reasons why the GAAP number this year was as good as it was versus our business plan. I mean, I think, we’re being able to as a first point of entry is with the activity we’re being able to push the annual escalators and reduce the free rent component. So, they’re two huge drivers to GAAP number. Cash number will traditionally lag that but even there after having the downward pressure in the fourth quarter, we still exceeded our ’13 target. And our ’14 target on the cash side is in excess of our ’13 target. The third piece to that is a key piece of the equation is on the capital side.
George Johnstone: And I think across the Board.
Gerald Sweeney: In every market, we’re being able to take a much firmer stand generally speaking on how we’re using capital in some of these new leases and certainly as far as our renewal tenants go. So, the harbingers of dramatic improvement are there bigger annual rent staffs, lower free rent concessions, ever improving cash market-to-market and lower capital cost. So we don’t say anything frankly in any of our markets, where we don’t see that trend line continuing. And remember our market-to-market numbers in 2013 were aided for three quarters of the year by a higher rent growth market over Austin, our ‘14 numbers do not include Austin, and we were literally at the same 8% upper end of the range on the GAAP side. So I think that actually demonstrates how the balance of the portfolio was improving.
Operator: And your next question comes from the line of Jordan Sadler with KeyBanc Capital Markets
Jordan Sadler - KeyBanc Capital Markets: Thanks, I’ve got Craig Millman here with me as well. I just wanted to touch on development. I see you guys have had some success securing some projects redevelopment, and the pipeline is growing. So I’m curious about the appetite for incremental development, what that would look like, where it would be? And then also trying to quantify overall spending for 2014 on development? Howard sounded like sales would cover the spending, but it’s a 150 million, the number. And then finally as it relates to Cira South, what the plan is there in terms of financing? Will that get joint venture or a ready partner et cetera?
Gerard Sweeney: All good questions in that one question, so we will pack it from the thing, on that.
Jordan Sadler - KeyBanc Capital Markets: It’s all Gerry; it’s all about development, one topic. Do you say one topic or one question?
Gerard Sweeney: On the development side, you do raised a very good point. We are seeing in a number of markets an increasing list of tenants who are, large-scale tenants who are looking for or evaluating seriously built-to-suit opportunities versus stay-put opportunities; and a line that is being driven by some of the points we touched on earlier relative to floor plate size, column spacing, window lines, and amenity packages et cetera. So we have not planned any additional development in our 2014 program. I mentioned two potentials, both downtown Philadelphia, the stock exchange building in 1919. But in addition to that when we take a look at markets where there might be some additional development option, and certainly in Austin Texas where we now have formed a co-investment vehicle with the DRA Advisors, there is clearly some large tenants moving in that marketplace. There is a public-private partnership opportunity, Austin down there that has done an incredibly effective job of marketing Austin to that of city companies to relocate and existing companies to expand. So we are pursuing a number of opportunities down there that might as the year progresses turn into develop and opportunities. Generally speaking though the balance of our markets, whether it’s Pennsylvania Town Centre Suburban location certainly the Metro DC Marketplace, Richmond and South Jersey, we don’t really see the prospect for much development there unless a couple of the builders whomsoever we were talking to would come across the finish line. But in those markets quite frankly, in some of those markets the gap between new development cost rents and existing stay-put rents are still pretty wide. In terms of the projected capital spent Howard layout and the source in use, what we project our full capital spend to be for both on balance sheet development and for our contributions to JVs by The Parc at Plymouth Meeting with Toll Brothers, although that equities fully funded at this point we have a construction loan in place to fund remaining construction cost. Our Evo project in downtown Philadelphia with Campus Crest in Harrison Street, the equity there again is funded pretty much and there is a construction loan in place, it will cover the balance of those costs. So the equity portion of those larger spent projects is pretty well set. On Cira South, we do plan as I mentioned breaking ground midyear. We’re finalizing the design components of the project. In looking at that being a $240+ million project, I think we’re certainly beginning to access and talk to other capital sources where we may decide that the most optimal result for Brandywine is to do that project in a joint venture format. As you know there’s a residential component and an office component. And we announced the tower upon the signing of the two leases we did indicate as part of that announcement that we have a joint venture partner lined up for the residential component, we’re looking for additional institutional partner to augment their capital contribution, and in addition to that just accessing the general broader institutional capital market to really assess with -- again the most optimal capital structure for that project is, we would certainly expect to have a lot more clarity on that by the time we break ground in June. Did that cover all your points Jordan?
Jordan Sadler - KeyBanc Capital Markets: Yes that was pretty good. I think right have a quick one.
Craig Millman - KeyBanc Capital Markets: Hey George, on the spec revenue increase in DC Hi. George, on the spec revenue increase in DC, I know you hit on the couple of the opportunities there. But is it just those specific spaces or are you seeing a general improvement in the DC market here early in the year.
George Johnstone: No. we’re actually seeing increased activity levels. We’re pretty tight in Tyson’s but we’re seeing kind of the activity shifting out into Dulles corner itself. So, look I think Mike Copper, our Managing Director and his leading teams, again continue to source deals. But yes, we are starting to see maybe a quarter or two ago the activity wasn’t as plentiful out in Dulles corner. We’re not kind of seeing its moved forward out the toll road.
Operator: And your next question comes from the line of Rich Anderson with BMO Capital Markets.
Rich Anderson - BMO Capital Markets: So, I don’t know if you have this number but the 0.1% GAAP mark-to-market for 2013. Do you happen to have a mark-to-market number for the entire portfolio? Like you were to reset trends today, what that total mark-to-market would be?
Gerald Sweeney: Its virtually flat, when you kind of go across the entire spectrum of the company it kind of averages flat. But you know, we do see that we have a markup situation in Pennsylvania suburbs and downtown Philadelphia and then we’re kind in the roll down scenario in most of our Metro DC portfolio and status quo in, the smaller regions of New Jersey and Richmond.
Rich Anderson - BMO Capital Markets: Would you say that flat number is an improvement -- significant improvement over the past couple of years.
Gerald Sweeney: Yes. I would say so. I mean we are probably 200 to 300 basis points of roll down and when you would have probably run that math two years ago. And then my second question is, I think it was Tom that mentioned some interest from capital coming into some of these suburban secondary markets and yet you’re disposition cap rate target right now is 8.5% versus I think you’re doing something in the seven range or low sevens in 2013. So, is there a possibility that number could come at 8.5 based on some of the observations you’ve seen lately.
George Johnstone: Rich, look we as a standard convention for the last several years have model 8.5% in our financial model. In the last two years we’ve come in on through that. So, the cap rate issue as I think just look around 7% -- 7.5%. So, I think our track record for the last couple years is we should be able to better that by just think for modeling purposes we kind of think that 8.5% target number.
Operator:  And your next question comes from the line of Josh Attie with Citigroup.
Josh Attie - Citigroup: Thanks. Good morning. Fourth quarter earnings were below consensus and they seem to be sort of its low end of where your guidance was and I know there were some moving parts and you mentioned the Commerce Square preferred return turning off. But it’s been a little bit difficult for us to completely bridge the gap. And I guess it will be helpful when you look at the core portfolio, was there any short full on occupancy even if it was just timing versus your internal expectations kind of just to give us a sense of how the portfolio is performing heading into 2014 and the achievability of guidance.
Gerald Sweeney: Yes. Look, I think when we led out that 90% occupancy target, kind of pre-Austin, pre-Commerce. I mean we came in right at that number, we guided from that 90% number down to 89.3% we got a 10 basis point pickup at of Commerce Square came online a little bit better occupied than we had originally thought when we are kind of going through due diligence, when lease commenced in December that we had program for early ’14. Then we got a 10 basis points pickup from the accusation of 4 points and so that’s kind of have 89.3 turned into 89.5. So, I think from an occupancy perspective I think we’re kind of right where we thought we would be. We’ve identified the early termination events that we know of and we’ve kind of led out the leasing plan to kind of backfill that.
Josh Attie - Citigroup: But I guess, versus your -- what guidance was it seems like it was at the low end, I mean was there any operational item that missed or didn’t come through.
Gerald Sweeney: Well, I think we had a little bit, I guess potential access, no removal expense in December, about half of that little bit more than half of that kind of gets reimbursed but as a little bit of maybe leakage there but not a huge number we had a tenant evection that lead to some straight line rent write-off that was maybe $200,000 but there was no one kind of catastrophic or, that was the culprit from an operational perspective.
Josh Attie - Citigroup: So, I guess maybe it’s a -- Mike speaking. If your guidance was 31 to 35 you get 31, something must have changed in that and sort of why won’t those items roll forward in 2014, right, because you kept your guidance for ’14. So, why isn’t that possible to sort of breakout, why you hit the low end and why it has zero impact to your view of ‘14?
Howard Sipzner: Michael, it’s Howard. I mean we typically don’t give quarterly guidance because things move around either transactions or leases even inter-quarter. When you get to the fourth quarter you’d implicitly given fourth quarter guidance because it’s all that’s left. We left the $0.04 range, you could argue maybe it should have been three or even two but that’s not terribly different from what other companies do at that time of the year nor what we would normally do at that time of the year. We do create the possibility of different things happening at different times, I mean even the Commerce Square transactions, had they somehow moved up earlier, they had a pretty significant even daily impact in terms of the NOI adjustment in that transaction. We remember running in the backdrop of that was the turn off of the preferred return. So there was a double swing going on there. And looking ahead to 2014, the business plan is off to a very good start. The range which we normally give early by the way, most companies don’t give a range back in October. We are pretty pleased with the fact that we do that. We are happy that it has held up and as the quarters roll forward, at least the surprise up or down or transactions occur, we have got a lot of cash on the balance sheet that we could deploy. We will have the opportunity to fine-tune that but at this point leaving a $0.09 range with the full year to go feels good. We are comfortable with that range and that’s why we affirmed it. So, we could talk offline about your assumptions, how they maybe higher or lower but ultimately..
Josh Attie - Citigroup: I am not looking at our assumptions, I am just saying if the street was at $0.33 for the quarter and you provided a range of 31 to 35 and you hit 31. Is there anything within a $0.04 delta, right, that’s on a quarterly basis, a $0.04 top on a quarterly basis is $0.16 annually, okay, from the low end to the high end. So, I were just trying to figure out is there anything that we should be knowledge about in the fourth quarter that happened that would somehow depress heading into ‘14 or not?
Howard Sipzner: Well, look I would suggest you look back at your 2013 model, you were one of several companies that had a $0.02 higher figure in the fourth quarter than would have been necessary to meet the full year guidance.
Josh Attie - Citigroup: Howard, hold on a second. We are, the street was at 33, we were at 33, I am looking at an individual quarter basis because you start mixing and matching difference a between core FFO, headline FFO, reported FFO, everyone has different FFO. What we do know is you provided guidance in the fourth quarter of 31 to 35 and you reported 31 and the street was at 33, full year numbers shouldn’t matter.
Howard Sipzner: I am struggling with the math as well. We hit the full year consensus of a $1.38. We had a $1.07 for the first nine months. The missing piece is $0.31, I don’t know why you would need $0.33 on top of a $1.07 to get to your number of a $1.38, but I don’t know the inner workings of your model. I know for us the numbers worked and we are very happy with the full year results.
Gerald Sweeney: I am sorry, to go to the core I think of your question, let me try to direct, we are not aware of anything from an operational or from a reporting standpoint that will give us any cause for concern over us meeting the guidance for 2014 that we just affirmed.
Josh Attie - Citigroup: Okay.
Operator: And your next question comes from the line of Jed Reagan with Green Street Advisor.
Jed Reagan - Green Street Advisor: Hi guys. Maybe drilling in on the land that you have in the planning and zoning phase for the aircrafts multiple sites. Just provide a little more detail about your plans for those sites and maybe how do you think about outright sales of that land versus JV development?
Gerald Sweeney: Certainly we are happy too and let me just flip the page. I mean look our part preference is always to sale for cash if we can achieve the highest value for that. We have sold a number of parcels. We have a number of parcels under agreement or in due diligence now and our expectation is some of those parcels could close as early as midyear of 2014. We have a number of parcels that we have under agreement that are subject to rezoning, in other words relating our potential buyer take the properties for rezoning because they concluded that they are better suit from an infrastructure standpoint to do that. So, those agreements of sale tend to be basically option agreements when they get their approvals in place, they will then close on the property. I mean certainly we take a look at some of our larger land parcels, I mean the Walnut Street Tower i.e. the FMC Tower we sold currently and covering in land. We have a basis there, that will go into develop and when that project starts, our Metroplex site and a Plymouth Meeting, Pennsylvania. We are doing some additional site planning work there with the anticipation maybe creating more of a mixed use development, if that is successful, my guess that we’d sell off a partial of that to another use as opposed to joint venturing it. Same thing with our suites for growth in Chester County, Pennsylvania and two Christina land in Wilmington, Delaware. So it’s little bit of a differ answer based upon each piece of property. But certainly this year, we would expect that 1919 and FMC Tower would go into development and that we would have a number partials of land really in New Jersey, Texas and Virginia that we would anticipate selling sometime in the first half of the year.
Jed Reagan - Green Street Advisor: Okay, that’s helpful. Thanks. And just curious our conversations are going for the remaining office space available in FMC Tower and then preleasing at Ballston development and then on the Ballston project, you just remind us how much preleasing you want to move forward there?
Gerald Sweeney: Sure, we’re - we’ve been formally launched the marketing plan for FMC Tower. We frankly really anticipate that kicking off full gear in June when design development of marketing material, the video all that information is fully pulled together. In the interim though, we’re certainly handing a lot of inquiries from tenants who we think some of those have some really good track. You may recall that we have about 225,000 square feet of spec base there. So certainly a fairly small component in terms of where we think the risk profile is, so I would say that really the second half of ’14 would be really the full launch of the marketing plan for that project. I would expect probably between now and then we will be able to get a few of the small release we’re talking to single floor tenants across the table. So, we feel really about how that development has been queued up and frankly how well it’s been received in the marketplace. So that’s all tracking along very nicely and the Ballston development which is a joint venture with John Shooshan and his company. They continue, I say, we and they continue collectively marketing the project for significant prelease. We haven’t really established a range of preleasing but certainly got to be in that 30% to 50% plus range. And that would really depend upon length of lease stacking in the building, overall economics et cetera. But that market is very competitive. There is a number of existing buildings that are in the competitive set. There is couple of buildings that are near to being announced as construction starts up. I think the initial predicate that we went into that joint venture with still remains true. It’s a great piece of property, incredibly well located, right next to where there is going to be mall redevelopment its part of a mixed use project. John and his company are extremely well positioned and connected in that marketplace. And that between John and Brandywine and our outside advisers, we’ll aggressively present that project to tenants in the market. And if wind up getting one will make a decision to go, and if not, we’ll continue our premarketing efforts.
Operator: And you next question comes from line of Mitch Germain with JMP.
Mitch Germain - JMP: Good morning. Jerry, I think, you’ve mentioned tenants paying a premium for collaborative space and I’m curious has that changed the manner in which your marketing space available for lease?
Gerald Sweeney: Well, I think, it’s not so much in a matter how we marketed but certainly we have a very good team of space planers that work on for our company and they’re doing incredibly effective job of pre-thinking how we can lay out space for tenants. So, as part of our prescreening process or leasing agents get a really clear sense of what the qualitative drivers are of the tenant decision making process. And we clearly get in front of that and really show them how our floor placement buildings are looking at, can accommodate what their ultimate collaborative or culture objectives are in that space. And it really does vary by tenant. Number of tenants migrating very much to bench technology but in pods with a fairly wide amount of square feet between those pods with either conference centers, gaming rooms, collaborative space whatever it might, so for us it’s a great experience because tenants are still trying to think through what - they want their space to look like, I mean, there is tremendously diverging points of you on open versus close space office and anywhere along that continuum. So we’re going through the planning process right now with a number of larger tenants who are going through that very thought process now what the best mix of open versus close, what’s the best of bench versus cubical, use of glass versus fixed walls. So, I think, what we wind up doing actually to answer your question directly is we tend to really get very well educated on how flexible the floor place of each of our buildings can be. We model out a range of space planning options, so we're actually able to kind of educate persuade the tenant prospect on how our building meets their needs the best. So it's probably kind of broadening out everyone's perspective on what office space should look like and what it should be used for.
Operator: And at this time there are no further questions. I would like to hand the conference back over to Mr. Sweeney for any closing remarks.
Gerald Sweeney: Only closing remark is thank you very much for your time and attention. We appreciate it and we look forward to providing a future update on our progress in the next quarterly call. Thank you very much.
Operator: